Operator: Greetings. Welcome to PowerFleet's First Quarter 2026 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, David Wilson, PowerFleet's Chief Financial Officer. You may begin.
David Wilson: Thank you, operator, and I'm delighted to welcome everyone to PowerFleet's first quarter FY '26 earnings call. Let me start by reading out the safe harbor statements. Our remarks today will contain forward-looking statements. Our actual results may differ from those contemplated by these forward-looking statements. Factors that may cause our actual results, performance and achievements to be materially different from those expressed or implied by such forward-looking statements are described in today's earnings press release. Any forward-looking statements that we make on this call are made only as of today, and we assume no obligation nor do we intend to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances. During this call, we will present both GAAP and certain non-GAAP financial measures. A reconciliation to GAAP to non-GAAP financial measures is included in today's press release. The press release is available on the Investors Section of our website at ir.powerfleet.com, and we invite you to follow along with the slides that accompany this call also located on our IR website. Now, I'll turn the call over to our CEO, Steve Towe. Steve?
Steve Towe: Thanks, David. Good morning, everyone. It's a pleasure to be here with some of our leadership team as we reflect on a high-impact Q1, one marked by SaaS revenue momentum, profitable growth and deeper customer traction through our platform strategy. As we entered Q1, we did so with the need to navigate real external complexity from customer caution tied to macro uncertainty, to the intense need to manage swiftly tariff frameworks and exposures. We proactively shifted our go-to-market to emphasize bundle software-led solutions in our highest-value verticals. We exercised product pricing and commercial discipline that's improved our attach rates and expanded service revenues. At the same time, we accelerated our supply chain evolution playbook, mitigating tariff headwinds by rebalancing supplier exposure, negotiating improved cost rates and managing impacts on the business and our customers. We remain firmly on the front foot. Our Unity solutions are gaining strong market recognition, and our performance this quarter shows we're building momentum in the right places. Whether it's new customer acquisition, SaaS revenue mix or the operating leverage was unlocking, we're delivering against the road map we laid at. Next slide, please. The standard metric this quarter is our achievement of a 6% sequential increase in service revenue, underscoring our recurring SaaS growth momentum. This took our services to a record 83% of total revenue, our highest mix yet. The shift towards SaaS is central to our strategy, improving predictability, scaling margins and compounding value over time. Accelerating this move allowed us to mitigate pressure on CapEx laid and product deals where sales cycles have been elongated due to the macro uncertainty. Another key standout metric for the quarter was our service-adjusted EBITDA gross margin hitting 76%, validating the improved efficiency of our model. Furthermore, we actioned $11 million of annualized savings in Q1 FY '26 of the annualized $18 million committed for the full year of FY '26, which has helped us to deliver adjusted EBITDA above expectations for the quarter. Let's turn now to our commercial progress. Next slide, please. Encouragingly, in Q1, we added high-value deals of over $100,000 ARR across 11 diverse sectors, evidence of the wide-ranging appeal for Unity solutions. We also grew our new customer logo wins by 14% sequentially, a healthy expansion driven by enterprise and mid-market traction. AI video bookings grew 52% quarter-over-quarter as well as a sequential 28% improvement in overall pipeline with our major channel partners in North America, highlights the robustness of our Unity go-to-market strategy. The metrics on this slide are solid proof points that we're driving a strong growth flywheel across our most premium high-ARPU solutions and both our direct and indirect sales motions are both contributing well to our growth. Let's take a look now at some of the key deals in Q1, and why we win them. Next slide, please. This slide illustrates some of our most strategic enterprise wins this quarter. From Fortune-500 food and beverage leaders, the global rental and logistics tier 1 providers. Across the board, we're seeing increased penetration of our safety and compliance modules. Major national and international enterprises are placing mission-critical reliance on our AI BDO and in warehouse solutions. There's a fundamental shift with customers targeting to consolidate their technology portfolios with Unity across the full operational spectrum. This translates into improved wallet share and stickiness with our major clients. Having looked at some key direct wins, now I have some exciting news for our indirect sales motion. Next slide, please. I'm pleased to announce a force multiplier partnership with MTM business, building further momentum on our announcement last quarter of major new channel partnerships signed in North America and Europe. As 1 of the world's largest network providers, MTM serves nearly 300 million customers across 16 countries. They've now selected PowerFleet Unity platform as the foundation for their enterprise data intelligence solutions, embedding Unity into their highly scaled connectivity stack and launching with a full integrated go-to-market strategy. This partnership opens a vast TAM in high-growth underpenetrated regions built around a fully integrated white label Unity solution. This is a great example of the kind of flying effect we want from the success and referenceability of our indirect model. Now, let's look at another standout win. Next slide, please. We're thrilled to welcome SIXT Rental Mexico as a new enterprise customer. SIXT Rental will be running with Unity at the center of their operations using our platform to optimize fuel and energy efficiency, improve driver accountability and unlock AI-driven visibility in real time. Unity's power to automate manual processes and provide mission-critical impact through predictable control is a great use case of how we are key to the digital transformation agendas of the world's biggest companies. This was also an international referral-led deal, a powerful indicator that Unity's global reputation is gaining fast through customer advocacy. Notably, the size and volume of larger digital transformation opportunities is increasing in the business. Let's take a look at another win on to the next slide. Our work with Foley, a leading U.S. heavy equipment and machinery provider is another powerful case study of Unity's impact at the enterprise level. Before engaging with PowerFleet, Foley faced a common challenge, fragmented data across the mixed brand fleet with limited visibility and no centralized view of mention schedules, asset utilization or performance optimization. We solved it with Unity's OEM agnostic data ingestion and harmonized analytics. And the impacts resulted in 30% reduction in maintenance costs, major gains in uptime and efficiency and real-time decision support for operations. This is a prime use case of how Unity's agnostic ingestion uniquely unlocks customer ROI and gives us clear competitive advantage. The next couple of slides show how Unity's value proposition is resonating across geographies, verticals and different mobile asset types with outcomes that are measurable, durable and scalable. Next slide, please. The story on this slide brings to life one of the most impactful data points we've seen to date. And it comes from Holcim, 1 of the world's largest building materials and sustainability companies. Holcim operations nearly 9,000 vehicles under our management across 18 countries. This extensive operation logs over 1.25 billion miles annually in an environment where safety, uptime and operational resilience are mission-critical to business performance. Our platform is powering Holcim's risk alerts, coaching interventions and performance analytics. Since rolling out Unity across their operation, Holcim has achieved an 83% reduction in critical safety events. This highly meaningful metric speaks volumes about the transformative power of data when it's harnessed effectively, consistently and at scale. The impact of this story is a proof point of why Unity is becoming the global excellent standard for enterprise-grade safety in the world of mobile assets. On to the next slide. I want to highlight for our investors some customer value examples of a core capability that's fast becoming a key growth lever for us as well as a strong differentiator from our competitors. We call it unified operations. As you can see from these 3 examples of the large portfolio of third-party system integrations we deliver, we're producing the system of record for customers' operational activities, to power the effectiveness of their overall digital stack, to meaningfully drive performance of their asset, the individual in charge of their assets and the business process. From CIOs, to CFOs, to safety executives, senior stakeholders want our data to pay more effectiveness within their critical applications. They're highly focused on delivering true digital transformation that unified operations can achieve. Each integration you see here is expanding ARPU of between $2 to $8 and creating further intrinsic customer value. This helps us to become mission- critical at the heart of our customers' operations and is a cast iron for durable retention. I'll hand you over now to David to walk us through the financial results from the quarter. David?
David Wilson: Thanks, Steve. Before diving into the details, let me start with a brief reminder of key pro forma adjustments, onetime expenses. This quarter's expenses included $4.6 million in onetime charges for restructuring, integrations and transaction costs. Excluded from adjusted EBITDA and EPS for ongoing loans. Amortization impact. Results included $5.8 million in noncash amortization related to the mix and Fleet Complete acquisitions impacting services gross margins by 7%. Next slide, please. Let me start with the clearest indicator of the strength and momentum of our business model, services revenue, which grew an impressive 53% year-over-year and 6% sequentially to $86.5 million, a particularly strong result given the scale of our operations. Importantly, the mix of revenue continues to sweeten. This quarter's high-margin services revenue rising to 83% of total revenue, up sequentially from 79% in the prior year's 75%. As our SaaS revenue grows, so does the predictability, the margin leverage and the lifetime value of our customer relationships, it means a larger share of our revenue is now high margin, recurring and anchored in multiyear value delivery through the Unity platform. Next slide. Strength in SaaS is at the heart of our investment thesis, rapid profitable growth. Looking at our year-over-year performance, we delivered $104 million in revenue for the quarter, a 38% increase and approximately $1 million higher than consensus estimates. Significantly, adjusted EBITDA hit $21.6 million, a 58% lift over the same period last year and exceeding consensus by over $1 million. This is strong performance at the intersection of innovation and financial discipline. We're seeing clear benefits from synergy realization, platform consolidation and a SaaS-centric revenue mix. This growth is coming from aligned sales execution, expanding customer value and a well-calibrated operating model. We're investing smartly where it counts and the results speak for themselves. Next slide. Let's take a closer look at margins, where we're delivering meaningful year-over-year gains, a stronger revenue mix and service gross margins of 76% were the key drivers of a 300 basis point expansion in adjusted EBITDA gross margins, which reached 67%. Strength in services more than offset pressure on product margins of 25%, which were adversely impacted by tariffs, which tempered CapEx deals for our high-margin in warehouse solutions. Moving to the right-hand side of the chart and expense E to Rs, where we're making thoughtful trade-offs across the P&L. General and administrative costs were down year-over-year at 26% of revenue, thanks to synergy realization and smart systems consolidation. That significant headroom unlocked without compromising execution. As planned, sales and marketing ticked up to 17% as we lead into go-to-market acceleration across key verticals and partners, a deliberate reinvestments in top line momentum. Gross research and development spend increased by 1 percentage points to 8%, ensuring continued focus on platform innovation, particularly in AI, safety and compliance. R&D net of capitalized software was 5% of revenue for the quarter. Changes in the overall mix of spend are exactly what we want to see, expanding margins, disciplined reinvestment and operational rigor across the board. As we look to the upcoming quarter, we do expect product margins to remain in the mid-20% range and to support the rapid expansion of capability, sales and marketing expenses are expected to run at approximately 18% of revenue. Next slide, please. Closing on leverage, we are pleased with its trajectory. We exit Q1 with net debt-to-EBITDA ratio of 2.97x, down from 3.2x at the end of FY '25. That solid progress in just 1 quarter. Our guidance remains firm under 2.25 net leverage by year-end. Net debt at quarter end was $235 million compared to adjusted net debt of $229 million at the end of fiscal 2025. This increase is in line with prior expectations of front-loaded investments to accelerate platform integration, synergy capture and system upgrades. This was intentional. It clears the path for a much stronger second half of the year where we're projecting an additional $30 million in net debt improvement in the back half driven by top line growth, reduced CapEx intensity and improved working capital performance. With that, I'll hand the call over to Melissa to walk through our Q1 transformation progress. Melissa?
Melissa Ingram: Good morning, everyone. Q1 was another quarter of disciplined execution of strategic transformation initiatives, and we continue to deliver meaningful progress against our objectives. From an EBITDA perspective, we realized $11 million in annualized savings this quarter, putting us firmly on the path to achieving the 18 million FY '26 target we've committed. I'll share more detail on our EBITDA expansion progress on the next slide. On our business transformation initiatives, we're well underway in executing a phased program to harmonize our company-wide systems focusing on driving operational efficiency and strengthening our ability to scale our global operations seamlessly. We successfully achieved the initial milestones in the first quarter completing a broad sales CRM harmonization across key regions. Further alignment across multiple operating platforms in our strategic operating geographies is now well underway with a global rollout to further regions already in detailed planning. The whole company is leading into this transformation, which remains a key strategic focus for the team. We're also amplifying our business development efforts to capitalize on strong market demand for our differentiated solutions. A key initiative is the launch of a strategic program with a Fortune 500 demand generation partner to double down on the acceleration of our pipeline growth. The program is already delivering tangible results with strong engagement and a growing flow of qualified opportunities. On the supply chain front, we're successfully mitigating major tariff-related cost pressures, a direct outcome of our strategic supply chain evolution, which is delivering a more balanced and resilient operating model for manufacturing operations to support our global customer base. Finally, we're scaling our strategic indirect growth partner management capabilities to meet accelerating demand across our third- party partner ecosystem. This includes major global IoT partners such as MTN, which we discussed earlier as well as other strategic carrier relationships we covered on the last earnings call. We're also seeing strong momentum with key vehicle leasing partners like SIXT as we expand our global footprint and enable growth through these high-impact channels. We are mobilizing for high-scale sales motions in these channels. I'm very encouraged by the way the team has embraced transformation and executed at pace, setting a strong foundation for continued growth and value creation. Next slide, please. This slide explains in more detail how we achieved $11 million in annualized savings in Q1. Firstly, as of 1st of April, we implemented a leaner global operating structure to strengthen our high-performance culture and improve how we operate as a business. These enhancements are already driving measurable impact, streamlining decision-making and sharpening accountability, enabling us to move faster, execute with greater focus and serve customers more effectively. Whilst this change was first and foremost about building a better business, it also drove meaningful EBITDA improvement, delivering $7 million in annualized savings within Q1. The second area of focus was disciplined execution in vendor spend reduction. Our systems transformation enabled us to eliminate redundant and duplicative applications while continuing to overhaul the tools we use to manage customers and operations globally. This included aligning to a global support ticketing system and reducing services costs, particularly in communications and third-party providers embedded in our solutions, through process standardization and deeper partnerships with fewer, more strategic vendors. We've advanced facilities consolidation and continued to standardize operating policies across the business, reinforcing spend discipline and creating a foundation to unlock further efficiencies at scale. The combination of these actions gives us tangible confidence we'll deliver the remaining $7 million of our annualized EBITDA savings target for the year, while continuing to invest in customer-facing growth initiatives. With that, I'd like to turn the call over to Mike Powell, our Chief Innovation Officer, who is leading both our external and internal technology transformation. We are delighted that Mike has chosen to join us for the next phase of PowerFleet's journey. In just 7 months, he's brought tremendous energy, vision and momentum to our innovation agenda and we're thrilled with the progress we're already making under his leadership. Mike, over to you.
Mike Powell: Thanks, Melissa, and good morning, everyone. I'm thrilled to be here and even more excited about what we're building at PowerFleet. Since joining as Chief Innovation Officer, I've seen firsthand the speed, ambition and precision with which our team operates. We're not just talking about digital transformation, we're engineering it with Unity as a core enabler. We've taken a bold product vision and translated into real-world execution, unlocking value across safety, visibility, compliance and operational efficiency, whether it's driver risk mitigation, intelligent warehouse optimization or cross-platform data harmonization, Unity is delivering results where it matters most. My focus today is to share how our innovation agenda is scaling, how we're building an enterprise-grade data intelligence delivery engine that's defining the generation of AI-powered operations. Let's dive into the highlights. Next slide, please. In Q1, we received a peripheral external validation of our innovation engine. PowerFleet was named 1 of ABI Research's 7 most innovative global technology companies, alongside household names like Schneider Electric, Vertiv and Ericsson. This was a recognition grounded in technical analysis and commercial execution. ABI specifically highlighted the unique platform for its enterprise-grade modularity. AI- led innovation in the field of Agentic and generative AI as well as machine vision, hardware agnostic architecture, rapid deployment capability and a clear ROI delivery at scale. They went as far as to describe Unity as enabling true digital transformation, a coveted endorsement and real differentiator in a market saturated with point solutions. This recognition tells us 2 things. First, our platform vision is resident with both customers and analysts. Second, we're no longer just participating in the enterprise IoT conversation, we're shaping it. Next slide, please. Let's talk about product innovation and specifically AI. One of the most pressing pain points we're hearing from enterprise organizations is that they are drowning in video data, but starving for insights. Video tools are generating terabytes of footage, but it's too difficult to find the value amidst the forest of data and consequentially, decision latency is high. So we built something to solve that. We launched our new AI risk intervention module inside Unity, purpose-built to automatically analyze critical safety events and drive real-time action. Here's what it delivers. Real-time detection of fatigue, distraction and unsafe behavior, automated risk alerting and live driver coaching, 80-plus percent reduction in manual video review hours, structured export-ready data for insurers and regulators and most importantly, measurable ROI to reduce incidents and claims. This is a breakthrough. It's AI with purpose. AI that protects lives, cuts costs and enables safer operations at scale. And it's already live in the field. We've signed multiple deals where this module was the differentiator. This is what excites me the most. This is an innovation for innovation's sake. It's driving top line and bottom line impact today. Next slide, please. To wrap up, I'm delighted to announce that this November, we'll be hosting an investor innovation session, a dedicated Unity AIoT product and technology showcase, tailored for the investor and analyst community. We're bringing you inside the platform, walking you through Unity's agnostic ingestion, harmonization and single pane of glass in action, use cases across safety, in warehouse, on-road and compliance, customer examples of unified operations and AI-powered applications. And most importantly, how all of this translates into scale, monetization and defensibility. You'll see why Unity is a highly differentiated, multi- award-winning platform. More than that, it's the platform delivering digital transformation for the world's most operationally intensive industries. We're building something powerful here, and we're excited to show you what's next. It's a privilege to lead the innovation agenda for PowerFleet, and I couldn't be more excited for what's ahead. With that, I'll pass the call back to Steve to close this out.
Steve Towe: Thanks, Mike. Before we finish, I want to pause and reflect on just how far we've come. Over the past months, in particular, PowerFleet has undergone a profound transformation from strategy through to execution. We've reshaped our operating model unified our sales channels around a scaled AI-driven platform and unlocked a powerful flywheel of innovation, commercial impact and profitable growth. Maybe, even more importantly, this change is being felt where it matters most by our customers and our team around the world. Let's open up for Q&A. Operator?
Operator: [Operator Instructions] Your first question for today is from Scott Searle with ROTH Capital.
Scott Wallace Searle: Great job on the quarter. Nice to see the services growth starting to accelerate. Steve, maybe to jump in right into the MTN relationship, very exciting. I'm wondering if there's sort of other metrics that you can put around it in terms of the opportunity set of fleet vehicles within the MTN basin footprint and the timing of when we could expect to see some implementation there? And maybe some past historic perspective in the quarter as well. How big was telco in the quarter? I think you had some other operators that were percolating around in other geographies, places like Europe. I'm wondering any updates on that front.
Steve Towe: Yes, thanks, Scott. So a few things. So in terms of MTN business, it is a significant, if not the most major part of their infrastructure. So a very large opportunity for us, as we said, across multiple countries within the territory. We've been working on this 1 for a little while. So those guys are ready to hit the road in the second half of the year. Again, a little bit caution just in terms of how long it takes to get pipeline building. But we're already there in terms of a lot the cement work that's needed. This is going to be a white label of all of the Unity platform and its solutions. So this will be significant for us. In terms of the telcos in the quarter, I think there's a couple of stats that we provided. So pipeline has gone sequentially 28% up in the North American channel partners. And then secondly, the large increase in bookings that we've had for AI video has come predominantly from that channel as well. So all good in terms of the AT&T and TELUS relationships. In terms of the other 2 that we're still to announce, then the work is ongoing. As we said, they will take a little bit longer, just with their processes to come to fruition in terms of bringing business to us. That's kind of late Q4, heading into FY '27 that those guys will really come on board for us. But all good and more than delighted obviously with this win, as now, we're being recognized not just in the territories where we've played before, but in new territories in terms of getting these opportunities that can provide fantastic scale for the business.
Scott Wallace Searle: And if I could, 1 more, just in terms of the guidance, you raised the low end of the guidance. You had a very good quarter in terms of service growth offsetting some of the weakness on the products front. I'm wondering as you look into the September quarter and fiscal '26 in general, how you're thinking about the product contribution going forward given some of the economic headwinds, I think in the warehouse category. Maybe you can give us some updated thoughts on that and tariff impact. And then that stated with the new guidance, are you feeling much more comfortable about getting to that double-digit services growth as we exit the year? It seems like what we posted in the June quarter and kind of extrapolating that going forward that the visibility on that front is improving. So any updated thoughts on that would be welcome.
Steve Towe: I'll pave it, David, and then you can jump in with anything.
David Wilson: Yes.
Steve Towe: I mean just in general terms, I think we were a little bit pensive coming out of the last quarter with obviously, the macroeconomic and seeing where it was going to go. We've pivoted very strongly. This has helped to move to that SaaS mix that we were looking for. That will continue. In terms of caution around CapEx decisions that it still remains, it's up and down, depending when there's any new news that comes out in terms of the tariffs. But I think we're feeling super confident in terms of our abilities to grow that to that 10% SaaS rate that you alluded to. And just in general, I think we've been through a huge period of transformation, a lot going on internally, a lot going on externally. Now, we're seeing those green shoots. I think the evidence that we're providing whether that's customer wins, whether that is ROI for customers, whether that's ARPU expansion, whether it's channel opportunity, this is real kind of competence building crush internally in terms of seeing the proof points to back up the thesis that we have a winning play here. And we can't be more delighted with the quarter, and we couldn't be more delighted with the trajectory, albeit that we still remain a little bit cautious in terms of some of the macroeconomics around us.
Operator: Your next question is from Anthony Stoss with Craig-Hallum.
Anthony Joseph Stoss: My congrats on the strong execution as well. Steve, maybe you can share a little bit more color on the AT&T, where they're at on the enterprise side of your product rollout. I know it's early days, I'm just curious where that stands? And also anything qualitatively give us in terms of the number of products, PowerFleet products that you're seeing each customer purchase is that going up and how rapidly? Then I have a follow-up after that.
Steve Towe: Yes. So AT&T is tracking well. As you said, it's early days. If you remember, their executive that said video, video, video in our Investor Day in terms of what their strategy was, I think that's bearing out in some of the metrics that we have put forward, and they're leaning into the different opportunities that the Unity brings. So a lot of interest in the new modularity from an AI perspective. So I think that is super key in terms of win rates of more than 1 products. I think, again, the increase in SaaS rates, the increase in ARPU, all gives you good calendar in terms of our abilities to do that and those rates are definitely increasing. So even though we did a lot of new logos, an increase in new logos, we got significant quarterly business through the upsell and cross- sell program. So that is playing out as per the thesis as well. And I think just, in general, Tony, I mean, there was multiple reasons why we did the Fleet Complete acquisition, multiple reasons why we did the mix transaction. But you've hit on 2 there. One was the ability for us to expand channel relationships, something that's done really well by Fleet Complete? And then secondly, is the very high opportunity for cross-sell, upsell, and that's now starting to bear fruit across our customer base.
Anthony Joseph Stoss: Got it. If I could throw 1 question to David. The percent of revenues that's now as occurring up huge sequentially at 83%. I'm curious where you think that go, let's say, a year from now and where the overall gross margins for the company as a result go a year from now?
David Wilson: Yes. So clearly, it was a blowout quarter from a services standpoint. So sometimes everything goes right for you, and that was definitely the case this quarter. As we said in the earlier remarks, we are expecting sort of 10% organic growth in Q4 of this year as we exit the year. So double digit. Again, that is going to be driven by primarily services. Undoubtedly, we've been hit pretty hard in terms of the CapEx side of things, the product side of things. So I would say that was usually low. And the expectation is the focus is that there'll be some uplift on that in terms of as we work forward as people have a better understanding exactly what the tariff situation is, there'll be more certainty. So while it was a great quarter for services, it was not a good 1 for products, as things level down as people get more confident, we do expect some product revenue to come back, which can only help sort of the growth rate from a top line standpoint.
Steve Towe: I think just to chime in there, kind of longer term, 85% plus is our ambition for SaaS revenue as part of the overall revenue mix. And if you look at gross margins on the services line, I remember services has had a little bit of one-off services in there that brings the margin down. But we'll get to 80% plus in that overall service and true SaaS margins, 90% plus to 95%.
Operator: Your next question for today is from Gary Prestopino with Barrington Research.
Gary Frank Prestopino: A couple of questions here. First of all, David, do you have a number for subscribers and ARPU for the quarter?
David Wilson: Yes, Gary, in terms of the growth in services, that was primarily ARPU-driven for all the reasons that Steve spoke to earlier. So I would say there was a modest change upwards in terms of subscribers, but it was really sort of ARPU-driven. From a services standpoint, we've pretty talked about the services ARPU being at 15% (sic) [ $15 ]. So obviously, a nice pick up on top of that 15% (sic) [ $15 ].
Steve Towe: You mean $15, David, right?
David Wilson: Sorry, $15, excuse me.
Steve Towe: Yes. So Gary, just to add in a little bit. If you look at the mid of revenue, so I think 51% or something was the amount of revenue that came from in warehouse and from AI video. I think the best statistic is if you look at the range of ARPU is there, you're anything from $30 up to $125, so the more of that we sell, the suite of the mix, and that's very much what we're focused on in terms of our ARPU expansion.
Gary Frank Prestopino: Okay. And just a question for Melissa, given how much expense synergies you captured in this quarter, is there a chance that you could exceed the goals of what you stated, I think it was $18 million for the year.
Melissa Ingram: Gary, so as you said, we've undertaken a significant amount of transformation, and that's been both in business and externally as well. We do need a little bit of time to settle through the organization and continue to drive the performance that we're driving. So we're focused on the $18 million for the year, very much as our target, and we intend to hit that.
Steve Towe: Okay. I think just to add in to that, Gary, so there's a little bit less of our overall plan for FY '27. We'll continue to find oxygen in our P&L. What we're pivoting right now is to obviously invest some of that return back into go-to-market as well because of the strong proof points we're seeing. So once we get to the $18 million, we'll kind of take a breath and take a look, but I think $18 million is a good number to have for the annualized number right now.
Gary Frank Prestopino: Okay. And then just in general, Steve, service -- product revenue was down. You talked about the tariff impact and the uncertainty, and it always used to be that product revenue is going to leave service revenue. But are you seeing, because you're selling more SaaS, more Unity and all that, the mix of your new business coming in? Is it more related to not selling equipment with the SaaS? Or I guess what I'm trying to get at is, is that mix improving where you're just selling SaaS versus having a connect equipment to a SaaS sale?
Steve Towe: Yes. So you're absolutely right. So we're selling more applications, more modular applications. The device-agnostic single pane of glass means that we don't always have to sell the hardware as well. So this -- as you know, we want to transform to be as much a true software player and be as device agnostic as we can so you're seeing that shift happen. In terms of the product revenue, there was also the financial accounting, the GAAP accounting that was the key part of that decline sequentially as well. David can give you the details there. But this is absolutely the mix in motion that we've been trying to achieve. And the more now, I think that the platform is beginning to have that true modularity. We're starting to sell it. It's more of an application than a kind of piece of team plus software. Then I think that's all playing out as we would want it to. We'll still take the hardware revenue when we get, but one thing I'm particularly pleased with is when we're kind of challenged with that CapEx laden issue, we've pivoted, and we've pivoted well, and we've executed extremely strongly on that SaaS line, which I think from investors' perspective, that's a very good signal for the future.
David Wilson: And just to add on, Gary. Yes, it's a $2 million sequential decline for the change in counting. So a major impact in terms of run rate revenue.
Operator: Your next question is from Dylan Becker with William Blair.
Dylan Tyler Becker: Really nice job here. Maybe, Steve or for David to you, double clicking on your comments there around kind of the doubling down on capacity investment, right? Great to see the services acceleration and momentum there. And to your point, that's going to be the driver of gross margin accelerating revenue growth. I guess as you're seeing conviction in enterprise services adoption kind of the leeway of the upside on cost synergies, how you're thinking about redeploying and maybe seeing kind of validation of this motion where maybe capacity is a constraining factor at this point given kind of some of your pipeline build commentary?
Steve Towe: Yes. So you'll remember from last quarter, we held off a further $4 million investment into go-to-market until we're kind of through this quarter and maybe next quarter. That remains, albeit we have taken the decision to put some more resources into those channels into the large indirect opportunities because obviously, to do those really well, which we know how to do really well. We have to put the right effort in upfront. So we're releasing a little bit of investment into those. As we continue to see the strength, then at the half year, we may pivot more investment and faster investment into the front line. And I would say, coming out of this quarter, our conviction to do that is stronger than it was 90 days ago by the quality of results that we've achieved in this quarter.
Dylan Tyler Becker: Okay. Great. That's very helpful. And then maybe, Mike, since we've got you as well, too. On the AI intervention offering, obviously, as we're scaling out kind of the Unity platform that gives you a lot of optionality, maybe this is the first in a series of things to come here. But wonder how you're thinking about kind of the opportunity to deploy AI at scale here and really kind of drive the differentiation across the board at Unity as you see more broad-based adoption and momentum.
Mike Powell: Yes, absolutely. Yes, we're excited about what we announced today and the momentum to have behind us. We're continuing to innovative ways to drive value for our customers. And like I said earlier in the comments, I think it has to be innovation, not just for innovation's sake, but really drive value in the real world. So we're continuing to explore a number of avenues where that brings value to our customers, and we're excited about what we're going to showcase later this year in November.
Operator: Your next question for today is from Alex Sklar with Raymond James.
Alexander James Sklar: Steve, maybe first one for you. A couple of questions on the indirect channel, following from some of them earlier, but the increase in AI video bookings mix, is that success across all of your major partners there? And then second, you talked about besides the MTN, you had a new American partner, you were looking to stand up a new European partner. Any update on the time line of those other partners to get enabled and up to productivity?
Steve Towe: Yes. So in terms of -- I think I went on record last time saying that the market is pivoting to our video-first strategy, if you're doing this really well. And that strategy is not just about putting cameras into vehicles. It's to Mike's point about how you manage the data and make it meaningful. And that positivity being felt throughout our channel partners. If you think about the connectivity strategies of these partners, then having video data at the center of that, which is lots of data. That's very much in the sweet spot of those channel partners. So across the board, we're feeling that strength from them. In terms of the North American and the European one, as I said, it's going to be a late Q4 launch and then more kind of inflow over the business in the next financial year, but all tracking well. It just takes a while and people go at different pace go through their process and get ready for launch, but it's all good. So if you think about it now, across Africa, with MTN and the opportunity for growth across that continent and the first for technology is very, very high. So that's great. Strengthening Europe and having a real powerhouse status, I think across North America is real great credibility and excitement from our perspective on how we scale. This is not -- we're not one-trick ponies in terms of that's all we're focusing on. So there are other channels of the partnerships that will come to bear as part of that, but we're in a very good spot, and I think we're ahead of schedule, which is why we're investing a little bit more. But I think the confidence in those partners to take PowerFleet and you take an MTN wanting to white label the whole portfolio. We put it right at the center of their digital IoT operations is a good proof point of the quality of our technology, but also our abilities to help them sell this and service and support it as well.
Alexander James Sklar: Okay. Great color on that. And then, David, maybe a follow-up for you. Just in terms of thinking through the linearity of those run rate savings, synergy savings hitting the P&L over the next couple of quarters. We obviously have the full year outlook, but anything you flag on timing there? And then with the bundling mix change that you've seen this quarter? Any change to how we should think about working capital and free cash flow for this year?
David Wilson: Yes. So in terms of the synergy benefits, a lot of it is on the G&A side. You saw a nice sort of sequential improvement from a G&A standpoint. So we did get a partial quarter benefits there. So that will flow-through. We'll get an even bigger flow-through in this coming quarter, given it happened relatively late in the quarter. So we expect to see the G&A, EBITDA, E to R continue to decline over time. As we noted, we are going to be investing some of that back into go-to-market. So given we were able to sort of execute at a faster pace, it does give us a little bit of oxygen investment back into the business. But again, performing exceptionally well, a little bit ahead of schedule in terms of some timing that does allow us to invest back into go-to-market. And then in terms of the change from a liquidity standpoint, no real change in terms of what we've shared previously. So we do expect to see a $20 million increase in terms of net debt in the first half of the year and then the $30 million flowback. So no real change on that front.
Operator: [Operator Instructions] Your next question for today is from Greg Gibas with Northland Securities.
Gregory Thomas Gibas: Steve, David, congrats on the strong execution in the MTN deal as well. I just wanted to follow up on a few things. I guess, as it relates to your previous comments, David, I think you kind of -- obviously, the net debt improvement drivers, $30 million, I think, expected in the back half. Obviously, you have the EBITDA growth component, you just kind of spoke to the working capital. I'm wondering kind of on the sharp decline in upfront investments and how do you expect that to contribute? And then I guess, following up to on kind of the biggest piece of the EBITDA savings coming from the organization rationalization, centralizing key functions, strategic outsourcing. If you could provide any incremental color on that, that will be very helpful as well.
Steve Towe: David, if you take the first part and Mel will take the second part.
David Wilson: Yes. So in terms of the decline. So no -- sorry, sorry. Greg, sorry. Can you just repeat the question again? Apologies. I was distracted when the question came in.
Gregory Thomas Gibas: No worries. Yes. So like the $30 million improvement, I guess, of net debt in the back half, you mentioned the sharp decline of upfront investments working capital recovery. If you could just kind of break out some of those components.
David Wilson: Yes. So there's about a $4 million investment we talked about in terms of the system side of things. So about 1% of revenue. The expectation is the vast majority of that spend happens in the first sort of 7 months of the year. So you'll see that decline in the second half or the second sort of 5 months of the year. So it is front-end loaded, and it's about $4 million ticket.
Steve Towe: And then Mel, if you take the question on where we're at with kind of organizational redesign and efficiencies across the org.
Melissa Ingram: Yes, sure. So as of April 1, we essentially aligned into a revised organizational structure and operating model for the business. And the drivers there really have been streamlining how we make decisions in the business, driving towards peak performance in terms of outputs across the overall company and the business. One outcome of that has also been the creation of this EBITDA expansion within the quarter. So we're well now into that. The organization is fully aligned into that structure, very focused on how we drive high performance to the business.
Steve Towe: Yes. So in summary, the heavy lifting has been done. So in terms of integrating the business, to operate as 1 business, centralizing the functions, we'll continue to harmonize that over the coming period. The remaining stuff is really coming from vendor spend plus business systems and efficiency, but I think the major uplift or difficult times where you're making those real sizable changes in the organizational structure are now complete. So I think -- and just from our performance, I think you see very much a performance, now we're through that period of time, and we're able to focus fully on the outside market just as much as we are internally.
Gregory Thomas Gibas: Great. That's helpful. And if I could kind of change gears here. In terms of the SIXT Rental deal, very nice to see that several weeks ago. Could you maybe kind of speak to the key differentiators that were maybe contributing factors to that win? And maybe ARPU, maybe how we should think about that relatively speaking?
Steve Towe: Yes. So a couple of things. So in terms of the rationale as to why we were chosen. One was quality of data. So ultimately, when you are providing tangible results in terms of sick passing on to their customers, charges and all that kind of stuff, you have to be bulletproof in terms of the quality of what you do. Secondly then, with our ability to take the data highway and integrate and transform their digital operations. So if you think about leasing companies wanting to have a seamless service to their customers and doing that as automated as possible, that was kind of number 2. So those are the 2 main reasons. And I think as well, just our overall strength of where we're now starting to be a credible alternative to some of the kind of tried and tested competitors in the market where I think our innovation and future thinking and road map capabilities was also kind of the third part. And the awesome thing about this deal is, as you know, a lot of times, these are very low ARPU deals, whereas I won't give the actual numbers, but this was certainly more than our average, our ARPU as in across the whole base today. So this is a very sweet deal. It's a very feature-rich deal, but we're getting paid accordingly.
Operator: We have reached the end of the question-and-answer session. And I'll now turn the call over to Steve Towe for closing remarks.
Steve Towe: Thank you. I just want to say a sincere thank you for your ongoing support. We'll continue to provide proof points at the heart of our strategy, strong operational execution, SaaS momentum, customer impact, innovation leadership and a team delivering tangible results in business improvement. Importantly, we're doing this with financial rigor, strong fundamentals and a clear focus on substantial value creation for our shareholders. We're grateful for your time and attention today. Have a wonderful day. Thanks. Bye-bye.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.